Unknown Executive: Hello, everyone, and welcome to today's webcast reviewing HIVE Blockchain Technologies Financial Results for Quarter Ended September 30, 2022.
 On Slide #2, I would like to briefly note disclosures. Except for the statements of historical fact, this presentation contains forward-looking information within the meaning of the applicable Canadian and US Securities Regulations. These forward-looking statements are based on expectations, estimates and assumptions as of the date of this presentation.
 On Slide #3, I would like to hand the presentation over to Executive Chairman, Frank Holmes, for a brief overview of the period and to kick off today's presentation. Frank? 
Frank Holmes: Thank you, Joseph, and thank you, Darcy and Aydin for working hard and preparing this presentation.
 And so I'd like to start off. HIVE announced its quarterly revenue of $29.6 million, achieved EBITDA of $18.8 million for the quarter. Bitcoin production was up 31% from the same quarter last year 2021. We're going to walk you through what's taken place in the past year, year-to-date, last quarter and external forces that we're battling in this sort of crypto ecosystem.
 But most important, before we start going into details, investors should recognize the DNA of volatility. This is basically sharing with you that it's a non-event 70% of the time for gold to go up or down 1% on a daily basis and 3% over 10 days. However, Bitcoin is 4x more volatile than the S&P on a daily basis or the Gold Bullion. And you can see a 11% difference over 10 days to what Gold Bullion is 3%. And when we take a look at Tesla, it's 13% daily volatility over 10 days. MicroStrategy, well-known technology company with a massive position in Bitcoin. It's plus or minus 20%. And for HIVE, it's plus or minus 21%. But on a daily basis, it is non-event for HIVE to go up or down 6%. So anyone that looks to come in to HIVE must recognize this volatility and life is all about managing expectations.
 So today's presenters is myself, I'm the Executive Chair; Darcy Daubaras, our CFO; and Aydin Kilic, our President and Chief Operating Officer. Leadership team includes myself and Darcy and Ian Mann, President of Bermuda Operations; Aydin, President and overall Chief Operating Officer; and Johanna Thornblad, the Country President in Sweden. HIVE's capital structure, as you can see, is about 83 million shares outstanding with warrants and options and RSUs. We're listed both -- when we take a look at HIVE that's listed in Canada as a primary jurisdiction. It's also listed on NASDAQ and in Germany.
 For the macro recap, HIVE announced quarterly revenue of $29.6 million. We achieved adjusted EBITDA of $18.8 million for the quarter. And Bitcoin production was up 31% from the same quarter last year ended September of '21 versus '22. So, we're going to walk you through this growth in our production. And further to that, we produced in the quarter, mined 858 green and clean Bitcoin and 7,309 Ethereum, which was -- Ethereum was subsequently sold to reinvest a new ASIC mining equipment. And as such, our production of Bitcoin has increased 4.5% quarter-over-quarter, while the company's average daily production of Ethereum increased from 83 Ethereum a day to 94 prior to the September 15 merge, which when we stopped mining Ethereum. It's a shift here from proof of work to proof of stake.
 However, in the previous quarter, Bitcoin, Ethereum average prices were higher. So this basically had a drop in revenue Q-over-Q was due to predominantly the price action of Bitcoin and Ethereum, not so much our production because we increased our production. And I think this is very important for investors as we continue to expand our footprint. This is in large part a result of New Brunswick facility expanding from 30 megawatts last year to operating approximately 17,300 new generation ASIC miners. Aydin will go into greater detail and give you more information on the growth.
 I wish to really thank you, at least our loyal shareholders for believing in our vision to mine both Ethereum and Bitcoin. We're sad to see this higher margin from mining Ethereum. We never received a big premium to price to earnings or price to cash flow for mining Ethereum, which was much more popular than mining Bitcoin, which allowed us to generate the highest cash flow returns on invested capital, not only as being an efficient miner in our Bitcoin production. And what's important here is this -- is that you recognize that now we're going to be compared on more of an equal footing to other crypto miners who are mining predominantly or mining only Bitcoin. 
 What's really important I want to reiterate is that, strategically, we have not borrowed expensive debt against our mining equipment, our ASIC chips or any other infrastructure, except for building data centers, which we have a mortgage. Or we have pledged our Bitcoin for costly loans, thus our balance sheet remains healthy to weather this storm. We believe our low coupon fixed debt on a relative basis to enterprise value is very low and attractive green renewable energy prices and high-performing energy-efficient ASIC chips will help us navigate through this crypto winter.
 The detailed financial analysis, we're going to walk through in more detail, but I really want to take a look at for people to recognize that in the past year, Bitcoin has fallen over 60% to the end of the quarter. It's fallen further since then, as we know that one calamity after another is taking place, but the crypto market cap has fallen [ $2 trillion ], which is quite significant as we've seen rising US interest rates in the US, and we've seen the blowup of proof of stake coins like Luna. And that turnaround and set of events that were happening in exchanges and hedge funds, which were doing predatory lendering, some of the hedge funds were basically lending at very expensive rates and we've seen this now unfold, which is a classic credit crisis.
 I have lived through this before. I remember vividly that the dot-com bubble, and then we had the Enron crisis, which is a classic credit crisis. We've had [ Madeco ] bankrupt, which pulled down the stock market. So, we've had a series of these from -- and do not forget Man Financial in 2011. So, these crises come and go and we'll get through this as long as you do not have a leveraged balance sheet of unstable yields, especially with rising interest rates.
 You've seen that some of the cost of capital has gone from 12% to 18%, which has made a very punitive for many of the other crypto miners who have basically now been defaulting on their loans. And this has only caused more turmoil in the overall crypto ecosystem. But for us, being the old guy at the guard here has seen these storms come and go, we run a very conservative company on a relative basis. And I believe that historically, technology stocks, whenever they've gone through such a punishing, the FAANG stocks have been punished this past year in addition to the crypto ecosystem.
 Historically, when we've had these big meltdowns from a credit crisis, which then still impact the technology even more so, they've usually proven to be great buys. But let's talk about the most recent stuff that's impacting us is the FTX Contagion that dominates the crypto headlines. Bankman fires everyone, resigns from FTX and puts his empire in bankruptcy. There's lots of negative comments about him funding, being very political for such a doer -- good doer for society. He was really much more politically motivated. He didn't build in the Bahamas educational schools for young kids that are from poverty areas, to help them with technology, no. His profits were channeled back into funding political ambitions in America.
 And so I think it's really just ingenuine what he's done, but we'll get through all of this stuff. And it's just part of what took place. If you go back into 2008, we had a first, it was Bear Stearns, 6 months later was Lehman Brothers, 6 months later was the bottom in the stock market was on a big run. So, I think that we're going to make sure that HIVE stays conservative in its balance sheet and how we manage this company.
 As for more granularity on our gross margins, we're going to get into those details with the presentation by Aydin, our President and Chief Operating Officer and more detail on the financials. But I think what's important is to understand the mark-to-market of assets and non-cash write-downs. There was a greater pressure in the accounting world to take non-cash charges against mining equipment that is required to create digital assets and the price of primary ASIC chips moves with the price of Bitcoin. It lags, but it moves, it's directional. And on big quarterly down swings, which we've experienced this past year, has reduced the value of the ASIC chip. At this time last year, buying a terahash was over $100 a terahash and it's fallen to $15.
 So, what happens in the accounting world is that the value of these assets get written down as a non-cash charge. However, if Bitcoin rallies, the value of this equipment goes up, but you don't rewrite the assets back up. What you do have the right on mark-to-market rulemaking is to write your Bitcoin prices back up. So the Bitcoin volatility just like Berkshire Hathaway's portfolio, they can go up and down in each quarter. And so what's more important for investors to focus on our operating earnings, our operating cash flow, our EBITDA. [indiscernible] And Darcy Daubaras, our CFO, will walk through and give you more detail on this. So, we're very still proud of -- we're [indiscernible] public in the crypto mining space, first to mine, both Bitcoin, Ethereum, first to buy data centers and put them on our balance sheet. First, to be 100% green with an ESG strategy and to be interlisted in both Canada, U.S. and Europe.
 HIVE uses only green energy in Canada, Iceland and Sweden. We are low-cost energy, especially in Sweden, where we're able to hedge out and we also balance the grid. We offer some unique attributes of the overall crypto to using of energy that when there is a need for energy during peak periods that we can tool back and slow down our mining and the grid will use our energy. We are paid a standby fee for such a service. So it's really important for investors to grasp, but we were leaders in this. And now we're seeing other companies in Texas being very significant in balancing the grid.
 Low temperature is important for us, where we are located, 100 miles south of the Arctic Circle to Montreal to New Brunswick, where there's lots of snow and cold weather and Iceland, where it's geothermal and fast Internet connection is also key to the success of -- as a crypto miner or running just a data center. So here, I want to show you what is taking place at Amsterdam, Netherlands, is using robotics. And this facility just shocked us all with a very positive part. And what I'm trying to walk you through that this video is showing how you can use a greenhouse and use Bitcoin miners to heat the water and the water then heats 8 football fields, 8 football fields. It's really tremendous. And here they are growing red peppers and they are using robots. Those machines, you can see are robots. And this will -- basically, we're building out in Northern Sweden, which will have 90,000 square foot facility to be built and they'll use our machines to recycle that molecule of energy.
 This is another visual of a close-up of the robot moving past. You can see some of the red peppers at the bottom, and you can see a train of these robots and using sensors to stop and move around human beings. It's really cutting-edge technology. And the consumption of water also is 10% of which is normal from a farmer. So, this is quite significant. We know it works. We visited the facilities when recently when we were in Amsterdam at the Bitcoin Conference, Bitcoin Magazine hosted. And so we're very, very positive about what's going to take place in Sweden.
 Next, please. So you can see our financials. Approximately $30 million of revenue. Bitcoin, 1,380 Bitcoin. Adjusted EBITDA, $18.8 million. And to us, what amazes that our market cap is not higher relative to our peers when you look at an EBITDA multiple. But we'll stay with what we're doing in our SG&A. The cost of Bitcoin produced was about $9,800. But what's important here is that we did make the statement in our press release that this will rise for several reasons. And what's happened since the having -- not having, but the proof of stake -- from proof of work to proof of stake for Ethereum and the merge in September is that Bitcoin mining difficulty jumped by 20%. That means we were mining about 11 Bitcoin a day and it's now 9%.
 So, you're generating less Bitcoin a day because more people are competing for that Bitcoin. And the price of Bitcoin has fallen under $20,000. And it looks like it's following a new base, a little over $15,000. So that basically means that the cost of mining Bitcoin is going to rise. And what we're expecting this quarter is that a lot of people are going to have to shut down their machines. Most of the machines for most of the energy in the world is now unproductive. So that's what we're believing and we believe that our balance sheet is strong enough and our cash position to weather through the storm just like we did when the halving took place and we bought Lachute in Montreal. We bought it. We started producing Bitcoin. Then halving took place. And for a couple of months, it was unproductive. And then we had this huge drop in the difficulty. And all of a sudden, we were able to start turning Lachute around. So, we think that, that's what's going to take place.
 This visual is very important for you to recognize that our revenue on a quarterly basis, on a year-over-year basis as we reported, tracks Bitcoin trends. So, you can see a year ago when Bitcoin was $69,000, we are running at a run rate of $68 million and we were also mining Ethereum. But since then, our Bitcoin production has increased substantially. Our Bitcoin holding position has also increased substantially. So, we believe that we're positioned to rising Bitcoin over the next 12 months. We would see a huge expansion in our revenue on a quarterly basis.
 Bitcoin mine by HIVE continues to increase. So, that was really important for investors. Yes, HIVE has gone down because crypto prices have gone down. Crypto prices have gone down because of systemic risk that is all these quasi shadow banks and proof of stake coins leverage, highly leveraged, all of a sudden started unwinding as interest rates started rising in the US with one of the greatest surge in 40 years of interest rates rising over a 9-month period.
 And in this case, a reset, a reset for stock prices, a reset for crypto, for every asset class goes through a reset. And what it exposes, as Warren Buffett says, when the tide goes out, you'll see who's naked and who's not and who looks pretty and who does not. And what you're seeing is a lot of these quasi banks, they were trying to say to banks where they're unregulated like Celsius taking deposits and Voyager and promising higher yields basically have unraveled. And that completion has continued to where we are today. But we feel that we have a strategy to grow another exahash here to upgrade our facilities to the highest proficient machines, which Aydin will go to. So, we feel very confident of where we're going. And this is another idea to give you at the quarter end, our HODL position on our balance sheet, which gives us lots of strength. HIVE's ASIC hash rate, growth rate, we expect to from today at 2.45 to be able to expand to 3.3.
 Now, I want to turn over to Darcy to give you a snapshot of financials and give you more important granularity of how we're managing the sort of crypto winter. And both Darcy and I have lived through the previous winter and HIVE came out of it stronger and better than ever. 
Darcy Daubaras: Great. Thanks, Frank. I'm looking forward to getting out of the cold and getting into a little bit of heat.
 So flipping on to the next slide, please. Just talking about our earnings, as Frank has talked about, is we take a look at our operational earnings on a cash flow basis, add-in our investment earnings, which is a realized, unrealized gains, losses, which can greatly affect what our end results are. There's a lot of non-cash items, which I'll touch on in just a moment.
 Moving on to Slide 22, please. Moving on to Slide 22, please. These are 2 things that we've been highlighting over the last couple of quarters is trying to explain this mark-to-market and the non-cash charges that are part of the accounting ecosystem and following the international standards. The mark-to-market is an accounting practice that involves adjusting the value of the assets to reflect its value determined by current market conditions, which, as we all know, are not moving in the right direction, not just in our industry but across the whole ecosystem. And the market value is determined based on what a company would get for the asset, if it was sold at that point in time. And as Frank had touched on, the price of a lot of these assets right now has dropped considerably, even though these machines are very economical and very efficient at what they do.
 The mark-to-market losses that we have to book at times are paper losses generated through the accounting entries rather than the actual sale of the securities. And these swings in digital assets impact the paper profit and losses each quarter in our bottom line earnings. So, our Bitcoin and Ethereum digital assets do generate unrealized gains and losses each quarter. And moving forward, it will be just our bitcoin. And it's important that investors like you that follow us and been with us for years and years, understand the differences in the operating earnings or losses in addition to the mark-to-market paper gains that we experienced.
 Talking quickly about non-cash charges and specifically what we've gone through this quarter. These non-cash charges is a write-down or an accounting expense that does not involve cash payments. These are things like depreciation, amortization, depletion, stock-based compensation and asset impairments that are very common non-cash charges that reduce our bottom line earnings, but not cash flows. These are non-cash items.
 During this quarter that we just completed, we took 2 big non-cash charges as a result of the continuing bear market that we're all experiencing as required under the accounting prescriptions. The first was an impairment under IAS 36 on mining equipment of $26.2 million, which was required under the regulations due to indications of impairment that are present in the continuing bear market we are experiencing. And the second was an accelerated depreciation charge of $13.5 million as a result of an accounting change on the useful economic life from 2 years -- or sorry, from 4 years to 2 years on some of our GPU cards. And this better aligns them with their use and activities moving forward.
 Flipping on to the next page, please. Just taking a look at our results for the 6 months ended September 30. We've got our revenue, as we had highlighted, $73.8 million for the 6 months, a mining margin of $43 million, adjusted EBITDA of $132.3 million. We have mined 1,679 Bitcoin during the 6-month period. Our digital assets, which is down a little bit from the end of June because of the drop in our cryptocurrency pricing to $64.9 million, still extremely strong though. And the Bitcoin equivalent mine sitting at 2,719.
 Next, please. As I've mentioned when I talked about the digital currencies, we continue to have a very strong and healthy balance sheet. Our cash position sitting at $8.1 million at September 30, 2022, along with an additional $64.9 million in digital currencies, which was predominantly Bitcoin. We also have $9.2 million in amounts receivable and prepaids. Unfortunately, the market value of our strategic investments fell slightly during the quarter as a result of the general market instability, but is remaining at a strong $6.5 million.
 As I mentioned, we maintained a strong net cash position, healthy working capital to fund our operations and growth. We are very low on the debt side. We don't have any assets that we have pledged. We haven't staked any bitcoin. We weren't doing anything with Ethereum, which leaves us extremely mobile in terms of being able to deal with this ongoing crypto winter that we are experiencing.
 Turning to Slide 25. Our gross mining margin, which equates to our revenues minus direct operating and maintenance costs, decreased in absolute dollars to $15.9 million or 54% in the most recent quarter, compared to $46 million or 86% in the prior year comparative. Gross mining margin is also partially dependent on various external network factors, including the all-time high mining difficulty that we are experiencing, the amount of digital currency rewards miners receive and the market price of the digital currencies at the time of mining, which, as we all know, has been falling and staying low for the last quarter. In this most recent quarter, we are reporting a loss of $0.45 per share compared to a net income of $0.51 per share reported in Q2 of last year when mining prices were much higher for Bitcoin and Ethereum.
 Moving on to Slide 26. You can see that HIVE has maintained relatively steady Ethereum production over the past 4 years, overcoming the market challenges of increasing hash rates by continuing to be innovative and efficient in the operation of our GPU miners. This was our bread and butter when we started 4 years ago. And through our innovation and focus on it, it was continuing to be a strong part of HIVE over the last 4 quarters and last 4 years. And unfortunately, we will have to adjust as we have to the Ethereum merge and we're going to come out stronger on the other side. And as Frank had alluded to, be able to be judged side-by-side with our peers who are also mostly pure Bitcoin miners.
 Taking a look at revenue increases. In looking at our year-over-year revenue, we generated revenue from digital currency mining in the second quarter of fiscal 2023 of USD 30 million versus USD 53.6 million in the prior year first quarter. The decrease in revenues versus the same quarter in fiscal 2022 can be attributable to 3 main headlines as we've all touched on. It's the ever-increasing Bitcoin in a mining -- Bitcoin and Ethereum difficulty hashrates over the past 6 months, the significant drop in the price of Bitcoin and Ethereum and to a lesser extent, the Ethereum merge, which happened on September 15 of this year. This triple punch contributed strongly to the significant drop in revenues that we experienced.
 As Frank had alluded to and shown to us all, this was partially offset by the increase in the production of Bitcoin mining. As mentioned previously, our gross mining margin, which equates to our revenues minus direct operating and maintenance costs, decreased in absolute dollars to $15.9 million in the most recent quarter compared to $46 million in the prior year comparative.
 Turning to Slide 28. Comparing our current fiscal Q2 quarter to the previous Q1 quarter, we generated revenue from digital currency mining in the second quarter of fiscal 2023 of USD 30 million versus USD 44.2 million in the previous quarter. The decrease in revenues versus the previous quarter was impacted significantly by the incredibly low prices that Bitcoin and Ethereum experienced, as we continue to go through this challenging bear market.
 Gross mining margin decreased in absolute dollars to $15.9 million in the most recent quarter compared to $27 million in the prior quarter comparative. As we're hearing in the theme here, we're going through some difficult times as an industry with the increasing difficulty in Bitcoin and the low prices that we're continuing to have, partially because of all this contagion that is happening with one thing after another. And hopefully, we're through the worst of it and we can build a very strong community moving forward.
 Turning to Slide 29. Our adjusted EBITDA decreased in the second quarter of fiscal 2023 to $18.8 million versus $48.2 million in the prior year comparative quarter. I will highlight the gross mining margin and adjusted EBITDA are non-IFRS figures. In the second quarter of fiscal 2023, we experienced a loss of $37 million compared to a net income of $38 million in the prior year comparative quarter. This decrease experience was driven predominantly by the large drop in the price of Bitcoin and Ethereum, combined with increasing difficulty in hashrate and the significant non-cash charges experienced in this quarter, which I touched on, being the impairment on a miner equipment of $26.2 million, accelerated depreciation of $13.5 million and the required revaluation of our digital currency holdings of $2.4 million based on mark-to-market accounting.
 Going on to Slide 30. Our adjusted EBITDA decreased in the second quarter of fiscal 2023 -- sorry, increased to $18.8 million versus $11.2 million in the prior quarter. Again, highlighting for our listeners that the gross mining margin and adjusted EBITDA are non-IFRS figures. In the second quarter of fiscal 2023, we experienced a loss of $37 million compared to a loss of $95.3 million in the prior quarter. These losses in the prior quarter to remind our listeners were driven predominantly by significant non-cash charges, one being the revaluation of digital currencies of $72.2 million and the impairment on miner equipment and deposits of $11 million, which was in that first quarter of this fiscal 2023. Our gross mining margin decreased in absolute dollars to $15.9 million in the most recent quarter compared to $27 million in the prior quarter comparative.
 Now, I'd like to turn it over to Aydin Kilic, our President and Chief Operating Officer, for an operational update. 
Aydin Kilic: Thank you for the introduction, Darcy. And so now I'm going to give an operational update. Let's jump into it. So here's an overview of HIVE by the numbers. Since our last quarter ended June 30, we were at 2.25 exahash of Bitcoin mining and about 6.3 terahash of Ethereum mining. Since then, our Bitcoin mining footprint has increased by almost 10% to [ 2.45 ] exahash and that's just our ASIC fleet. And since the Ethereum merge, we've actually repurposed our GPUs to use a unique switching algorithm to mine Bitcoin. What we actually do is we mine old coins. We don't get custody of them. We actually get paid in Bitcoin. And that works up to about 350 petahash of Bitcoin mining capacity. So in total, right now, as of November, HIVE is operating at about 2.8 exahash of Bitcoin mining, a 24% increase of our Bitcoin mining footprint from June of this year.
 Next slide. And our October production figures, we recently press released these. So, we did 262 Bitcoins going from our ASICs, another 45 Bitcoins from our GPUs for a total of 307 Bitcoins. And so to recap the hash rates, that was produced in an average of 2.67 exahash throughout the month of October. And then we ended the month of October at 2.77 exahash, combined ASICs and GPUs. And as of today, November 15, we're at 2.8 exahash. So incremental growth along the way as we've received all 140 petahash of our Micro BT M30S++, and those have all been received and plunked in. And so we've upgraded some machines in that process. And of course, I got all Micro BTs hashing and hence the -- not only upgrade to our hashrate but increase the overall fleet efficiency.
 Let's go to the next slide. Now as I mentioned, we produced -- if you looked at the right in this October chart, we did 307 Bitcoin at an average of 2.67 exahash. What that means is, I produced an average of 115 Bitcoin per exahash, again, amongst the top of our industry peers. And October was a challenging month. You look at most of the industry peers were struggling to even mine 100 Bitcoin per exahash. We see 5 of our peers listed here that were under 100 Bitcoin per exahash.
 And what's even more interesting is some of our peers that have larger market caps and larger enterprise values, if you refer to -- towards the bottom of this chart, they have a much higher market premium when you look at their enterprise value per terahash. They have enterprise value per terahash well north of $100, right? And at HIVE, we're sitting about $75, $80 [ a carat ]. So, we have a much stronger value proposition. And yet, we've led the pack month after month in terms of best Bitcoin per exahash. Again, you see September, we were 122 leading our peers. August, we were 140. And on a month-by-month basis, this will change with the network difficulty, but it's important to compare the peers amongst themselves to see who leads the pack, but you don't need to take my word for it.
 Next slide, please. Anthony Power, who writes for Compass Mining does a phenomenal job. And here is [indiscernible] entire year-to-date from January to October and HIVE leads the pack overall year-to-date in the best uptime in the industry. Now what does that mean best uptime in the industry? Well, when you have a multi exahash operation, you're maintaining substations, you've got to deal with miners overheating. Maybe the fans are breaking. You've got to do a firmware update, where the mine is not connecting to the pool anymore. It's all these myriad of items, large and small, that your team has to be responsive and adaptive. We have a high-performance culture at HIVE. We run 24/7. A call for me as the President and Chief Operating Officer to data center technician is a phone call away, right? We have an amazing software suite that manages our fleet globally and we're constantly upgrading and we're a very technology-forward company.
 Next slide. And speaking of technology advancement, we are the first company globally, bringing the Intel -- our own mine actually, it's called the HIVE [ Buzz Miner ] powered by the Intel Blockscale chip. We're the first company globally. We have about 100 of these in New Brunswick now. That's a photo of me with the prototype. And on the left here, you can actually see the preproduction samples as we're launching into mass production with the HIVE global. This is the HIVE Intel [ buzz ] miner. And so the key here is that we are vertically integrating our ASIC pipeline. So what we do as a technology company, where can we optimize and upgrade and improve to be best-in-class? And so we don't design the ASICs, but we've procured ASICs and we designed and built a miner around it as pictured here.
 Next slide. And so as evidenced by that, we have a fully [ science to ] deliver. ASIC chips are at the -- our contract manufacturer at the factory, and these are a 36% increase in fully funded ASIC production. And so this is just our ASIC production. So 2.45 exahash to date, and we'll be about 3.3 exahash in February. Now, these are all scheduled to be shipped out before Christmas, but we're adding a month of lead time to clear customs and get installed.
 And in addition to this, we have another 350 petahash in Bitcoin mining capacity from our GPU fleet. But again, you see steady and methodical growth. We haven't levered any of our Bitcoin to borrow money to buy ASICs. We haven't gotten any expensive debt to buy ASICs. At HIVE, we're about methodical growth, expansion and optimization to have the best-in-class performance. We have a high-performance culture at HIVE and that reflects in the numbers.
 Next slide, please. So now we're going to talk about the infrastructure a little bit. So, we've got about 15 megawatts of completed infrastructure that is ready and waiting for our HIVE [ Buzz ] miners to be installed, both in New Brunswick and in Quebec and Sweden. So that's very exciting.
 And on the next slide. Here, our New Brunswick Super Campus is fully complete. That's our building 4. And I just want to take a moment to reflect like we own this land. We built this ourselves, right? So at HIVE, we build an operator owned infrastructure. This is a world-class Bitcoin mining facility, has a completely passive design, almost a perfect [ PD ]. The cold air comes in from the side to the [ lubbers ]. The warm air is exhausted through the top. We can recirculate warm air passively in the super cold ones. We've had CBC news come out and do a visit and an interview. We've had the mayor of the site. We've had the analyst from H.C. Wainwright and Canaccord. We need to get the guys from Stifel out here to visit. And it is truly a world-class facility. I'm very proud of my team that we've built this.
 And on the next slide, you could see our legacy facility in Lachute, 30 megawatts, and those are heat recirculating pipes. So at HIVE, it has to be vertically integrated. We're developing our ASIC miner. We build and operate our own infrastructure. We're also trying to be conscious, as Frank pointed out, we were the first ESG crypto miner before. It was cool. So yes, we're using renewable energy. But guess what? We're also trying to make a social impact by reusing the heat. This heat part industrial neighbors a 200,000 square foot industrial [ steaming ] coal manufacturer. So when you think about relaxing in a swimming pool, going for a dip in the summer, think of HIVE.
 Next slide, please. And so now I'm going to talk a little bit about mining economics. And so this is like the Q2 earnings call. So, one thing that is nice to notice is that our cost to produce a Bitcoin actually has reduced by about 23% quarter-over-quarter. So, our cost to produce a Bitcoin was about $12,800 period end June. And this quarter period end September, that's reduced to about $9,900. And when you take that into context, the price of Bitcoin in Q1 was $32,000 and the price of Bitcoin was $21,000 this quarter, right? And so you could see that even if though the price of Bitcoin has come down, so as our cost to produce.
 Now going forward, October, November, December, we actually expect our cost to produce Bitcoin to go up, as evidenced by the increasing network difficulty. It's gone up 20% in the last 2 months. And in addition to this, our GPU fleet, the 25 megawatts of GPUs that we run, the ASIC produced so much Bitcoin equivalent that the hash rate is just so profitable with Ethereum.
 To put that into context, we're doing about 130,000 to 150,000 a day with our GPU fleet. Now, we're doing and using October mining economics. We're doing about 30,000 a day from that 25 megawatts. However, it's important to note that's not far off from -- if we were running ASICs in that 25 megawatts. If we are running ASICs in that 25 megawatts, we would have been doing about [ 40,000 ] a day using 40 joules per terahash machines. But at HIVE, we adapt to headwinds, right? Our ASICs have been able -- sorry, our GPUs have been able to generate revenue without any additional capital investment while we have our new generation chips coming in the next few weeks to expand, optimize and upgrade. So, we're prepared to navigate the market headwinds.
 Next slide, please. As evidenced here -- so if you look at the hash price and one of the things that you can't really put on a slide is just the amount of analysis and quantitative research that we do, our team day in, day out, that's sort of our secret sauce at HIVE. And so month-to-month we've been globally diversified in Sweden, Canada and Iceland. But what you're looking at here is the hash price. And this is industry-wide. This is not specific to HIVE. This is the price, what you call the hash price, okay? So, this is how much do you earn in revenue per terahash per day that you are operating? And so right now, you could see that line is approaching $0.05 a terahash a day, okay.
 So we're talking like all-time lows if you look at the last 2 years here. And we're talking levels that are even lower than after the last halving -- after the last halving event in May 2020. And in fact, mining economics were even worse in July and September of that year as evidenced by the scratch. So why is it even lower now? Well, it's not on this slide, but I can explain a very important concept, okay. So it's the commodification of hashrate. Now there are more S19s and other machines like Micro BT M30S++. That's a mouthful. It's about 30 joules a terahash, that machine. And so what that means is these machines are doing 100, 110 terahash. So the machines now are producing -- there's more machines now producing more hashrate than 2 years ago.
 2 years ago, the machines were maybe doing 40 joules of terahash, 50 joules of terahash, right? I'm sure there were some that's 19, but not everybody had them. And so as there's more machines producing more hashrate, then people are plugging these in, it's the cost per terahash per kilowatt hour that you have to be mindful of on an energy basis. And historically, the Bitcoin mining floor has been about $0.04 per kilowatt hour and right now S19s are doing about $0.08 a kilowatt hour. Older machines like 40 joules a terahash. It could be the M31. They're doing about $0.06 a kilowatt hour. 
 And older machines are like 50 joules per terahash. They're doing about $0.487 a kilowatt hour. So as those older machines hit that breakeven and you just think about people's global operating costs, on average, $0.04, $0.5, $0.06, wherever they are per kilowatt hour with the older-generation machines are becoming unprofitable, maybe they've got a little treasury that they'll sell off of their Bitcoin to keep running. But eventually, that hashrate will decrease. However, until that happens, we can see the hash price on this chart possibly go even lower.
 So just to be mindful and we're prepared to weather this, as Darcy and Frank elaborated, we've got a very strong balance sheet. And it's not HIVE's first bear market. HIVE has been through multiple bear markets. And as a reflection of this, we see ASIC prices approaching all-time lows. This comes from our friends at Luxor, who we work with and they produce phenomenal research at the hashrateindex.com. And so you could see how much ASIC prices rallied during 2021. But on a comparative basis, they're approaching all-time lows and these different lines represent different machine efficiencies.
 And so now it's a very opportunistic time for companies that are good stewardship of their balance sheet can extend when ASIC prices are at all-time lows. And finally, very cool advancement. So, this is our partnership with Agtira to do the greenhouse in Sweden. So, we've got some early indication that we believe this 4,000 square meter greenhouse can do about 800 tons of cucumbers or 320 tons of tomatoes per year. And we're looking to become the cucumber kings in Sweden. And Phase 2, we will incorporate Aquaponics as well, where, again, the warm air heat energy from our data center facility can also be used to heat water, which Frank had that cool video from Amsterdam. And so it's about taking crypto mining to the next level as the sector gets institutionalized, you see the best players with best practices, ESG awareness and of course, best-in-class KPIs and operating efficiencies. Thank you. 
Unknown Executive: Thank you, everyone. As a reminder, you can read the full earnings press release on our website and e-mail any questions to info@hiveblockchain.com. This concludes HIVE Blockchain Technologies webcast for the quarter end September 30, 2022.